Operator: Thank you for standing by, ladies and gentlemen, and welcome to the Star Bulk Carriers Conference Call on the Second Quarter 2017 Financial Results. We have with us Mr. Petros Pappas, Chief Executive Officer; Mr. Hamish Norton, President; Mr. Simos Spyrou and Mr. Christos Begleris, Co-Chief Financial Officers of the company. [Operator Instructions] I must advice you that the conference is being recorded today and we now pass the floor to one of your speakers Mr. Pappas. Please go ahead, sir.
Petros Pappas: Thank you operator. I’m Petros Pappas, Chief Executive Officer of Star Bulk Carriers and I would like to welcome you to the Star Bulk Carriers conference call, regarding our financial results for the second quarter of 2017. Before we begin, I kindly ask you to take a moment to read the safe harbor statement on Slide 2 of our presentation. Let us now turn to Slide 3 of the presentation, for a summary of our second quarter 2017 financial highlights in comparison to the same period last year. In the three months ending June 30, 2017, net revenues adjusted for non-cash items less voyage expenses amounted to $62 million, 77.1% higher than the $35 million, for the same period in 2016. Adjusted EBITDA for the second quarter 2017 was $25.7 million versus $1.6 million in the second quarter 2016. Adjusted net loss for the second quarter amounted to $7.6 million or $0.12 loss per share versus $30.2 million adjusted net loss or $0.69 loss per share in Q2, 2016. Our Time Charter Equivalent rate during this quarter was $9,746 per day compared to $5,609 per day in the same quarter last year. Our average daily operating expenses were $3,880 per vessel per day. I will now pass the floor to Co-CFO, Christos Begleris, for an update on our operational performance for the quarter.
Christos Begleris: Thank you, Petro. Slide 4 highlights Star Bulk’s strong liquidity position. We currently have an all-in cash breakeven, which including OpEx, corporate overhead, interest, lease payment and dry dock provision is approximately $7,600 per day, per vessel. Our lower breakeven has enabled the company to have positive free cash flow of $11.5 million, during the second quarter of 2017. On the right hand side, we provide recent balance sheet information, on our cash and debt positions. As of August 7, 2017, our total cash balance stood at $244.6 million. Total debt as of the same date stood at $1.05 billion. The remaining CapEx on the three new Kamsarmax vessels that we are due to take delivery of is at $103.5 million. $29.2 million is due in the third quarter of 2017, when we expect to take delivery of one vessel and $74.3 million is due in early 2018, when we take delivery of the remaining two vessels. One of the three vessels has variable financing, with fixed debt amounts and no LTV test at drawdown. Furthermore, we have agreed to $30 million of delivery financing on each of the remaining two vessels that would leave around $5 million of cash required in order to take delivery of all three vessels. Finally, on the bottom right hand side of the Slide, you can see the evolution of our adjusted EBITDA, which has been growing continuously as the market has been improving from the historical lows of the first quarter of 2016. We aim to continue keeping our costs low in order to be able to increase our profitability as the charter rates improve. In Slide 5, we want to update you on our fleet employment. We have fixed 21 vessels on period charters, ranging from a couple of months up to 12 months forward. In addition, four linked Newcastlemax vessels are employed with a major miner for a series of consecutive voyages and the other Newcastlemax vessel is employed on a time charter contract with a major trading house at BCI plus a premium of 32%. Please turn to Slide 6, where we summarize our operational performance for the second quarter of 2017. The combination of our in-house management and the scale of a group, provide us significant advantages in terms of cost and quality, which our customers and shareholders can enjoy. OpEx was at $3,880 per vessel per day, for the quarter, in line with our performance over the previous quarters. Net cash G&A expenses adjusted for one-off restructuring expenses as well as equity compensation were $1,117 per vessel, per day for the quarter. Our low cost structure is complemented by excellent ship management capabilities, as Star Bulk is ranked in the top five amongst managers evaluated by Rightship. We are focused on having the highest standards of vessel safety and maintenance to meet the requirements of our strictest and most demanding clients. Slide 7, shows that Star Bulk is one of the lowest cost operators amongst U.S. leased dry bulk peers, based on latest publicly available information. Star Bulk is one of the leaders in cost efficiencies amongst the industry with OpEx approximately 16% below the peer average. Notwithstanding the above, we always continue paying a lot of attention on the condition of our vessels, in order to remain at the top of the lease of our commercial partners. I will now pass the floor back to Petros for a market update and his closing remarks.
Petros Pappas: Thank you, Christos. Please turn to Slide 8, for a brief update of supply. During the first half of 2017, the dry bulk fleet grew by 2.3%. A total of 26.3 million deadweight was delivered, a net [ph] 8.1 million deadweight was sent to demolition for an 18.2 million deadweight net inflow. Dry bulk contracting during 2017 remained low, with a total of 7.9 million deadweight reported by Clarkson’s as firm orders, but with 12 million tons of LOI’s and options, pending to be confirmed or cancelled. The dry bulk order book therefore ranges between 7.5% and 9% of the fleet depending on the percentage of LOI’s and options, that will ultimately materialize. This compares to 14% order book during the same period last year. As previously projected, we still expect full year net fleet growth to end up at approximately 3.5% during 2017, from 2.2% during 2016. This is the result of a slowdown in demolition activity from 29.3 million deadweight during 2016 to less 15 million deadweight projected for 2017. Let’s now turn to Slide 9 for a brief update of demand. As per Clarkson’s latest reports, during 2017 total dry bulk trade will grow at 3.4% in tons, up from one 1.3% during the full year 2016. Dry bulk ton miles will expand at a higher pace, closer to 4%. We expect ton miles rate to grow at a higher pace than pure ton rate during the second half of ‘17, due to Brazilian iron ore export expansion, weaker Indonesia coal exports, growing West Africa bauxite exports and healthy grains and soybean demand from the Pacific. During the first half of 2017, international steel prices and steel mill profitability experienced a strong recovery and have supported a 5% year-on-year increase in global steel production. Copper and steel consumption in China increased by 9.9%, during the same period on the back of infrastructure and real estate investment growth. Important for iron ore trade is that forced shutdowns of induction furnaces has led to regional shortages of steel, which is currently providing support for blast furnaces in pig iron production. China coal imports have rebounded 23.3% during the first half of 2017, as thermal electricity generation grew by 7.6% on the back of electricity demand growth and reduced hydropower performance. We find encouragement for the second half of the year that stocks at power plants are historically low levels, despite the rebound in domestic coal production and imports. We’re generally positive about the market from the second half 2017 onwards and we believe that every subsequent year will fare better than the year before. This however is a fragile balance, which may tilt against us if ship owners embark in massive newbuilding ordering. We therefore highlight once again that the most important factor for market balance is owners newbuilding ordering discipline, in order to ensure a sustainable recovery as environmental regulations gradually come in to force. This environmental regulations will thereafter not only contribute to a transition towards a cleaner environment, but it will also assist shipping in reducing vessel supply and will therefore lead us to better markets as of 2020 onwards. Without taking any more of your time, I will now pass the floor over to the operator to answer any questions you may have.
Operator: [Operator Instructions] And your first question from Stifel comes from the line of Ben Nolan. And your line is now open.
Ben Nolan: So I have just a couple of questions, the first, I was going to see if you have any updates – in the last quarter you talked about doing some pretty intensive investigation as to installing scrubbers on your vessels, just curious if that process had begun at all or if you have any more clarity as to how much it will ultimately cost?
Petros Pappas: Well, [indiscernible] Ben we’ve done a lot of work, looking at scrubbers and its in the $2 million to $3 million range installed, which is a fair amount of capital.
Ben Nolan: But today there has not been any firm steps forward necessarily in terms of contracts or anything else on that front, is that fair?
Petros Pappas: We don’t have any contracts to install scrubbers at this moment, no.
Ben Nolan: And then switching gears a little bit. Obviously, one of your competitors has sort of gone back to their traditional loan agreements and debt amortization schedules and so forth and sort of this and a process of kind of normalizing and getting back to business as usual. Obviously, you guys still have the cash sweeps and so forth, I’m curious if, you considered taking any steps on that front and kind of making a move to the old terms of the credit facility?
Petros Pappas: Well, first of all, we expect to be making payments under our cash sweep as charter rates improves and as the market strengthens. And we have fine relationships with our banks and we don’t particularly think it’s in our shareholders’ interests to go back the terms of the agreement as it’s stood before the restructuring and frankly, that would be a fairly lengthy discussion with our banks, just to revise the restructuring agreement that it took us so long to create. I’m frankly puzzled why anybody would want us to do that.
Ben Nolan: And then the last one I guess from me for you Mr. Pappas. How do you think through – or are you at all concerned about the iron ore inventory levels in China? Do you think that this is a bit of a new normal in terms of them just carrying more iron ore?
Petros Pappas: I think that the present stock is about the 142 million tons. Now, if you think that China consumes 1.6 billion, perhaps even more than that – billion tons of iron ore every year that is about a 140 million tons per month. Therefore 140 million tons of stock is one months’ worth. Now, I don’t think they would go below 70, so even if they decided to draw on their stocks that would be 15 days’ worth. I’m not saying this wouldn’t affect the market. This would probably temporarily affect the market, but it is not really such a great amount to be extremely worried about. I do not rule out that at some point that potentially iron ore prices go very high, they might temporarily draw on those stocks and that would have a transient effect on the market, but I do not consider this as a huge amount of stocks that would do permanent damage to the market.
Operator: Now your next question from Deutsche Bank comes from the line of Amit Mehrotra and your line is now open sir.
Amit Mehrotra: Hi, thanks so much, Ben asked all the good questions, but I just wanted to follow up on the scrubber comment. Hamish, your answer – I read it a little bit cryptic in terms of the details compared to Petros’ comments last quarter, which were very detailed. But I think it’s an important point, just given the – you gave a little bit more details around just given the possibility cash calls that this could translate to, especially for Star Bulk given the size of the fleet. So the question is, if you could just – I really appreciate it if you could just offer some thoughts if there’s been any progress on the financing arrangements around these potential cash calls that you kind of started alluding to last quarter and then also just – if Start Bulk is in fact committed to installing these large capital investments given the evolving sort of regulatory landscape over the next couple years, would appreciate any detail?
Hamish Norton: First of all, we’re not committed to doing anything along those lines. And we’re only going to do something along those lines if it makes shareholders rich. And in terms of financing, the financing alternatives run the gamut from having banks that already have a mortgage against a ship extending a larger loan to finance the scrubber to export credit agency guarantees from the countries where these scrubbers are manufactured. So we have a board and a management team that are very careful with the share.
Amit Mehrotra: Let me just ask one more, as it relates to the commercial strategy. I mean the chartered out fleets shrunk a bit from 26 to 21, I guess that makes a complete sense given the seasonality of the market. But, if you can just offer – in the last quarter you did take some proactive steps in terms of getting coverage in the weaker period of the market, especially in the first quarter. If you could just talk about how you expect the chartered out fleet to trend into year end and then more importantly kind of in the first quarter or the first half of next year?
Petros Pappas: Amit, we expect the market to get stronger in the next few weeks or months. What we did actually here is that, we timed so that about 65% of our fleet comes [ph] open between August and October, because we consider these being the best months to fix the vessels again. And then, if the market still doesn’t improve within the next 10 to 15 days, we’ll do another short trip during that period that will open – that will assist in opening the vessel again within the period I mentioned. And then depending on where the market is, we will decide whether we take long hauls to get through January and February, which could be slower or we’ll do some periods that would take – give us cover for the first quarter or even part of the second quarter in next year. But the good thing about us is that we’ve managed to have the fleet opening up at the time that we believe is going to be a good timing for the market.
Amit Mehrotra: And then one last one for me, just piggybacking on Ben’s question again, excuse me. As it relates to Scorpio Bulkers [ph] decision to maybe accelerate some debt payments and – the question I had is that, are the banks at all – like you guys did this great restructuring or amortization holiday agreement in exchange for a little bit of equity –$50 million [ph] sort of equity. Now that the market has stabilized at all, have the banks come back to you, to sort of try to, not necessarily forcefully renegotiate the terms, but kind of open the door to you guys maybe prepaying a little bit of debt ahead of what you agreed to or is this purely still a very proactive decision in the market? I’m just trying to understand what the banks had [indiscernible] if they come to you at all to sort of talk about this?
Christos Begleris: Hi Amit, this is Christos. The banks have not really come back to us asking to change any of the terms of the restructuring. As Hamish previously said, it took quite a few months to complete documentation after we had a term sheet agreement with the banks. There are 10 months effectively from today or actually 11 months of repayment holiday until 30 June, 2018. And there is a cash [indiscernible] a certain threshold, which means the banks are going to get repayed. So, overall banks have been very supportive. They like the fact that we keep a very high [indiscernible] from 1 July, 2018.
Operator: Your next question from Clarksons comes from the line of Herman Hildan, and your line is open sir.
Herman Hildan: I just want to – kind of a short question. There have been some talks over the last couple of days about the government in China are trying to force production cuts and – they have from province there in the winter months. Kind of – do you – combining in all that, which obviously is not positive for potential import demand and also the induction furnace shutdown, which you mentioned, kind of – how do you – what do you think is the key factor for the strength that we’ve seen in the cap rates [ph] during the last month?
Petros Pappas: You mean cutting down the production or what – of iron ore or coal?
Herman Hildan: Steel. So, there’s kind of a one piece that you might pushed forward some seasonal demand – kind of which could result in Q3 being stronger and Q4 being weaker. Do you have any opinions about kind of the – what looks was driving earlier is now weaker than expected?
Petros Pappas: Well, I don’t actually know what percentage of cutting down is that for the overall production of China. But, I suppose that cutting down – which month is that for – I think it might be for Q4 or what is it?
Herman Hildan: I think it’s like November to February or something.
Petros Pappas: In what – November, yes. I think I read it as well, that is for November. So actually that might influence some imports in China in September or October. I don’t think I can judge that Herman at this point in time. We think that overall this will not have a major effect in demand. I think it is actually happening almost every year without a major effect. And we all know that the second half of every year is much more trade – then there is more iron ore coming from Brazil. I think it may have an effect, but it’s going to be transient and it will probably be bit minor.
Herman Hildan: Because it’s kind of what’s puzzling me a bit is that you’ve seen over the last month, you’ve seen [indiscernible] market obviously, at least in our opinion being a bit stronger than we expected. We’ve seen moment the time charter rates kind of moving up to just try on $15,000 a day. And then on the other hand, you kind have seen some pressure on second hand values. So it’s not kind of entirely consistent from the asset in charter market. I believe that we are kind of already in the – at least it’s contradicting as lower asset pricing higher rates. So I’m curious if you’re having opinions on that?
Petros Pappas: Well Herman right, if you’re worried about November, then we should – we’re well placed to start fixing our vessels through November and the first quarter, because the lot – most of our vessels basically open up in August and September. And we will research that more and give it some more thought and perhaps accommodate our chartering strategy accordingly. But as I said before, we specifically tried to have our fleet open during those months in order to make sure that we don’t get into December, which is a holiday season and then things slow down or late November. So, most of our fleet will be put away before that.
Herman Hildan: Just kind of a final question as well on kind of being [indiscernible] other ship during the third quarter and what’s your thinking around the next step for the fleet? Are you looking to grow more or you’re happy about your current position? What’s kind of the timing you think is on the next development for the fleet?
Christos Begleris: Hi Hermann, this is Christos. As you have seen, we have acquired three modern vessels, two Kamsarmaxes and one Supramax at quite attractive prices in the first six months of 2017. As far as the future is concerned, we may be engaging in fleet renewal exercises by disposing older vessels and replacing them with younger commercially more attractive vessels as we have done recently.
Operator: Now from J.P. Morgan, your next question comes from the line of Noah Parquette, and your line is now open.
Noah Parquette: I wanted to get you guys thoughts on the ballast water treatment regulations being pushed back also in the context of the U.S. has regulations in place for ships that is charged there. So do you think that will have any effect on owner’s decision to put in ballast water treatment systems before 2019 or is that not going to be much of a factor?
Petros Pappas: Hi Noah, it’s Petros. For as long as the U.S. Coast Guard doesn’t change their dates, I don’t think that pushing back the ballast water treatment plant through IMO makes any major difference, because – imagine that we have – let’s say – it doesn’t really apply to Capes, but Capes wouldn’t go for scrap, because most of the fleet is relatively modern anyway. They don’t call the U.S., so that does imply that much there. But on the smaller vessels, the U.S. is a big part of their business. So when the time comes what would we do, not install the ballast water treatment plant and tell our charters that we are fine with trading worldwide, but we’re not going to the States? This is not going to be possible, we will become second rate citizens. So I think that a push back by two years from the IMO won’t have a major effect in the market.
Noah Parquette: And can you give a current updated estimate on those systems, because there’s been a lot of variance over the past few months?
Petros Pappas: As to what? [Indiscernible] on ballast water? We think that between $600,000 to $700,000 and $1.2 to $1.3 million depending on the size of the vessel.
Noah Parquette: And just lastly I want to ask, after buying a few ships asset values are stabilized here or are they still historically low? How liquid do you think the second hand market is now at these levels and what is the bid-out spread?
Christos Begleris: There are vessels for sale, there is no question about that. So the market is relatively liquid, but don’t forget we’re going to the Q4 and every day that passes by makes owners more confident about the future, so in my view I do not see prices falling. Going forward I think that buyers will be obliged to come up in their ideas closer to the ideas of the sellers if there really wish to buy vessels.
Operator: Now from Morgan Stanley your next question comes from the line of Fotis Giannakoulis and your line is now open.
Fotis Giannakoulis: Hi gentlemen and thank you. Petros you mentioned about your optimism for the rest of the year and for next year. I’m just trying to understand what would be a reasonable expect rate for Capesizes? We have seen these rates moving to $20,000 back in March, but what is in your view rates that is more reasonable? And also if you can comment about the decline in steel exports South of China during 2017, coupled with the fact that China is trying to cut steel capacity and keep the sector profitable. Do you see that this could be a risk to steel production and effectively to iron ore imports?
Petros Pappas: Now you want to hold me on it, but Capes – Capes rates, I would estimate that we would see rates going back to what we’ve seen at the highest of this year at some point during the next four months. But I’m not a magician and I don’t have a crystal ball. Now as far the declining China steel exports, well that would be due to two reasons, one the fact that they need more steel within their own country and second that there are some importing countries that they are not very happy with the cheap prices of China and they’re putting up some tax barriers and import do business stuff like that. I do not see – but that you know – doesn’t – is not actually a negative thing, because those countries will probably need to import more iron ore to produce their own steel. So in my view this is not a negative, in fact if you think about China exporting steel, let’s say, one of our vessels finishes discharge in China and then goes to in the next port like one day away and loads steels for the continent. Basically that vessel is an efficient vessel, and the last thing we want in shipping is efficiencies. We would prefer these vessels to not be able to load in China and have to balance somewhere else – anywhere else, that’s longer than a day. A lot of the time these vessels will have to ballast several days and load from somewhere else and that actually adds inefficiencies in the market. This is one thing, which we call ocean imbalance, that one – the countries [indiscernible] one ocean produce more than they need and they therefore have to move it to the other ocean and the other ocean produces less of what they need, then they have to import it from the Atlantic for example – via Pacific from the Atlantic and that actually obliges vessels to balance longer. So that China not producing – not exporting lots of steel is not in my opinion a negative factor.
Fotis Giannakoulis: Thank you Petros for this very detailed answer, that’s very helpful. I want to ask you, you are one of the company that has every type of vessel within the dry bulk segment, when you see the trade of the different type of vessels, have you noticed any particular segment doing better and also if you can talk to us a little bit more about the minor commodities, how do you demand for minor commodities beyond iron ore and coal, in which regions they have experienced any shift in demand in the last quarter?
Petros Pappas: Right. You’re not– you’re giving a lot of trouble with difficult questions. So as far as which vessel does what? I think on the Capesize level, out of 125 working days for the first six months of this year, we saw a strong market meaning between $15,000 and $20,000 for about 25 days and then we saw – at some points we saw very low levels like $6,000, $5,000, $6,000, $7,000. So we saw a lot of fluctuation on the Capes, but that is what Capes are all about. When – as they depend a lot on China and they depend a lot on whether there is export from Brazil or not, you can see the best performance and the worst performance, so that was expected, high levels $20,000 and $5,000. The average – I don’t remember what the average has been, I think it’s been higher than the other two types of vessels, but that is something, which should be expected. Now on the, on the Panamax and the Supramax sizes. On the Panamax we saw only six days above $12,000 and we are also saw only – on the Supramax only six days above $10,000. So you could say that on average, the Kamsarmax did a bit better and I think on average in general, it is better this last six months than the Supras. I think this could be the reason behind that, it could be that maybe more Ultramaxes were delievered during that period. I think that’s probably the reason. So at least that covers the question about the relative performance of the vessels. Now you asked me about minor commodities and whether we saw any changes. I’m not the statistician of this company and I don’t have him here, he is on vacation, but one interesting thing for example was that bauxite increased – China increased their bauxite imports by about 26% and ton-miles of these shipments increased by 38%. And this is a very positive thing obviously, because most of that bauxite is coming from West Africa and East Africa. Brazil increased their exports, but you only talked about minor and minor commodities. Nickel ore, I can see – I saw nickel ore improving by imports, nickel ore in China improving by about 7%, and at this point in time, China has very low stocks of that. Grain trades was interesting because it went up. Imports of soyabeans for example in China increased by like 17%, which was positive. We saw the South American season extending for longer than usual, that’s about it. I don’t – other countries we don’t really look at as much, although trades overall increased in general. India is not offering us a lot of happiness yet, although we are seeing the coal – the coal stocks at very low levels, so there’s some hope there. One more thing is that we saw coal coming from the Atlantic to the Pacific, which was pretty strong. We’re not sure this will continue for very long, because China will increase its production. That’s about it Fotis, what else would you want from me?
Fotis Giannakoulis: No, that’s very helpful, Petros. I’m just trying to understand if there is a broader improvement in the trade flows as opposed to just iron ore or something that could help the overall markets and that you gave me a very detailed answer.
Petros Pappas: Well we think that coal ton-miles will increase. We think that Indonesia at some point hasn’t happened yet. We’ll have to cut down on their exports also because they want the imports, they want the production for their own use and because the quality of their coal is not so good. So we think that this will – ton-miles will improve there. We’re seeing more the grain demand. In general, we live in ton-miles, because of grain, because of bauxite, we think nickel ore will come further apart and coal as well. And of course, I don’t know which we have already discussed because of Brazil.
Operator: Now your next question from Seaport Global comes from the line of Magnus Fyhr.
Magnus Fyhr: Good afternoon. Just had one question on your fleet implement update. Several fixtures there and looks like some were actually very firm. Two, the Kamsarmax’s Star Helena and Ultramax Wolverine, were they recently done and is that an indication of the current market or were they done earlier in the quarter?
Petros Pappas: Well let me check for a sec. Yes most of the vessels – I think we fixed in the last week or so. We fixed what – we’re thinking is that perhaps we should fix some vessels through the first quarter of 2018 just to be on the safe side because usually during Q1, there is more vessels coming in there’s a lot of holidays, less production, bad weather and all that stuff. The Helena we fix for $10,750 for seven months to 10 months, which takes us through the end of February. The Wolverine, we fixed at $10,600 for eight months to 11 months [indiscernible] probably the end of March and we also actually fixed one of our Supras at $9,700 few days before that, for seven months to nine months, which gets us through March. So if you keep all your vessels to be fixed at the same time, you will end up not being able to fix everything because – not being able to fix a good amount to have at least some hedging in place, because there is not so much business within the best master available. So some of the vessels – when you have 74 of them, some of the vessels have to be fixed a bit earlier and some will be fixed later. But the plan would be to get through February.
Magnus Fyhr: I thought these were very firm rates for that amount of period. So it sounded like in your earlier remarks that you think market is going to move high in here as you get more ships opening up here over the next few months. So that’s great.
Petros Pappas: We have 44 vessels opening up, we had 47 vessels opening up in August, September, October, 47. We fixed three of them and we have another 44 coming.
Operator: Now from the AXIA Capital Markets, your next question comes from the line of Clinton Webb.
Clinton Webb: Real quick, just to revisit iron ore, we saw imports to China drop sequentially as well as year-over-year to about 86 million tons in July. I was just curious if there was any read through there or if it’s mainly seasonal? And secondly, what have you guys seen in terms of cargoes so far this month?
Petros Pappas: In terms of cargoes on which type? On all types of vessels.
Clinton Webb: No, on the iron ore.
Petros Pappas: On iron ore . Right. I’m not the chartering guy either, but actually we are getting interest from brokers to fix our vessels – from charters to fix our vessels for the periods right now. Yes it was 86 million. I think last month though, June was 91 million and overall for the seven months the increase has been almost 9% or 9.5%. So I mean it’s normal that you see ups and downs, that doesn’t really worry us that much. It also has to do with where vessels are whether there’s congestion somewhere and they’re coming late et cetera. What we do in our company is, we check where all the Capes are at any given time and what we’ve tried to do is to fix at the periods that we see there is lack of capacity in Australia or in Brazil. So if we see that there is lack of capacity in Brazil, we send the off vessel towards there or we will try to fix that week. If we see that the next week or next month there’s going to be many more vessels arriving, then we try to see where – whether there is less in Australia and we follow this kind of pattern. Now whether there’s been cargos this week or not, I do not know. This is for the chartering department to deal with. But our general strategy is to know where there is the bulk of tonnage and when they’re arriving and try to be at in a different place or try to fix earlier than that. Now the fact that there is various charters looking for us to give them our vessels for long period like one year, 1.5 years, must mean something, must mean that they’re expecting something that – they’re expecting the market to get stronger. And actually shipowners are usually at a bit advantage in that respect, because the charter’s are the one’s that control the vessel, they’re the cargoes. And they know when they’re coming out, and what kind of demand there is for them and we are only trying to second-guess them.
Operator: Thank you very much indeed, sir. [Operator Instructions] And so, our question from Firestorm Capital comes from the line of Eric Swergold.
Eric Swergold: Could you speak to the political turmoil in Brazil and how that might impact you? I would think that the Real had been getting stronger until the political stuff hit and then the Real weakend. I would say think on a relative basis that would make iron ore more attractive to the Chinese on a price basis from Brazil, which theoretically could increase ton-mile since it’s a longer route from Brazil to China then, Australia to China. Is that not correct, or could you comment on that?
Petros Pappas: You’re saying that the Brazilian Real is increasing value?
Eric Swergold: It’s been decreasing in value due to political turmoil.
Petros Pappas: That is a fantastic thing, because the more the value decreases, the more Reals the Brazilians are going to get for the dollar they get. And therefore, this will encourage exports from Brazil and it’s going to be a positive thing. In general, the dollar being – the fact that the dollar is weak is also a good thing. I mean [indiscernible] have a lot to do with trade. Just to stay for on the Real for sec, if I remember well from the last analysis we saw, the Real has gone down more versus the dollar, than the Australian dollar has. If that is correct, this is a positive thing. So the more it goes down, the better it is. Now talking about the dollar itself, this is – the dollar being weak is also a very good thing, especially for countries that import commodities, because then in the local currency it’s much cheaper, the commodity is much cheaper and also it’s good for charter rates, because in the local currency, they’re paying less dollar – less of their local currency for the chartering-in. And it also helps vessel prices, so currencies are very important. I think that the combination of a weak dollar and then even the weaker Real is excellent for the market.
Eric Swergold: Okay and while we’re on currency, can you comment on the impact of currency on scrap rates. I know scrap rates have sort of stabilized or declined a little bit, but I would think that a weaker dollar would encourage more scrapping, is that correct or incorrect?
Petros Pappas: Well actually scrapping – we saw the first sale at $400 per lightweight a couple of days ago. So s actually scrap rates in the last couple of weeks are going up. So now whether the dollar influences that – I don’t think that is a major – I don’t think that’s a major thing. It will depend how the dollar is fairing towards Bangladesh and Indian currencies. I haven’t been checking lately, to be honest.
Eric Swergold: Okay, thanks very much. Congratulations on the nice sequential improvement in your EBITDA over the last five quarters or six quarters.
Operator: Thank you very much, ladies and gentlemen. As there appears to be no further requests for questions, I shall pass the floor back to you for closing remarks.
Petros Pappas: Yes, I’d like to make one remark. I’ve been looking, I’ve been hearing that, it’s going to be about vessel emissions. I’ve been seeing that there is a plan, worldwide plan, but by 2050 emissions should diminish by about 42%. And 2050 is like 33 years from now, I’m going to be 97 then. One way to reduce emissions is to cut on vessel speeds and that’s something that Greenpeace has suggested and a number of such organizations. It seems like if you reduce your speed by 10%, you’ll have like 17% to 20% less emissions. So I’ve been having in my mind for some time now that if mandatorily vessel speeds reduce by 10% or 15%, then you could have less emissions within the next day all like 17% to 25% depending on the percentage of slowing down the fleets in one day instead of waiting for 33 years. I think this is food for thought. I have normal more comments, operator. Thank you very much.
Operator: Thank you, sir, and with many thanks to all our speakers today, that does conclude our conference. Thank you all for participating. You may now disconnect. Thank you, Mr. Pappas. Thank you, gentlemen.
Petros Pappas: Thank you. Bye-bye.
Operator: Very best to you, sir.